Operator: Ladies and gentlemen, thank you for joining us, and welcome to the 908 Devices Inc. Third Quarter 2025 Financial Results Conference Call. After today's prepared remarks, we will host a question and answer session. If you have dialed into today's call, please press 9 to raise your hand and 6 to unmute when it is your turn. To turn the call over to Barbara Russo, Investor Relations. Please go ahead. Thank you. This morning, 908 Devices Inc. released
Barbara Russo: financial results for the third quarter ended 09/30/2025. If you have not received this news release, if you would like to be added to the company's distribution list, please send an email to ir908devices.com. Joining me today from 908 Devices Inc. is Kevin Knopp, Chief Executive Officer and Co-Founder, and Joseph H. Griffith, Chief Financial Officer. Before we begin, our commentary today will include the presentation of some non-GAAP financial measures. These measures should be considered as a supplement to and not a substitute for GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures can be found in today's earnings press release, which is available in the Investor Relations section of our website. Additionally, I would like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward-Looking Statements in the press release 908 Devices Inc. issued today. For a more complete list and description, please see the Risk Factors section of the company's annual report on Form 10-Ks for the year ended 12/31/2024, and in its other filings with the Securities and Exchange Commission. Except as required by law, 908 Devices Inc. disclaims any intention or obligation to update or revise any financial projections or forward-looking statements whether because of new information, future events, or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast 11/10/2025. With that, I would like to turn the call over to Kevin. Thanks, Barbara.
Kevin Knopp: Good morning and thank you for joining our third quarter 2025 earnings call. I am incredibly proud of the momentum we have built and the progress our team is driving. We are executing the plan, sharpening our focus, and setting the stage for a stronger, more profitable 908 Devices Inc. Revenue from continuing operations was $14 million, down 4% year over year and up 8% sequentially. Growth was driven this quarter by our FTIR devices, which accounted for 42% of revenue as we continue to see very strong demand for our Explorer gas identification device. Another revenue highlight was the U.S. Coast Guard's purchase of 23 MX908 devices for narcotics interdiction efforts and hazardous threat detection. In total, we placed 176 devices during the quarter, growing our installed base 27% year over year to over 3,500 devices. Considering our year-to-date progress, revenues from continuing operations for the first nine months totaled $38.8 million, representing an increase of 16% year over year. Recurring revenue represented 36% of total revenue. Moreover, revenue from our U.S. State and local channel for the first nine months represented 47% of total revenues. Growth in this channel and in our recurring revenues are key parts of our strategy to enhance predictability as this is more run-rate business versus large enterprise device deals, which can be lumpy. We also made excellent progress towards our adjusted EBITDA target for 2025. Our adjusted EBITDA loss was just $1.8 million for the third quarter, an improvement of more than $5 million year over year compared to our previously disclosed adjusted EBITDA for Q3 2024 prior to our transformation. And importantly, the adjusted EBITDA loss reduced by 53% quarter over quarter. I would like to thank our team for their tremendous effort over the past few months as we realize these savings. This is our lowest adjusted EBITDA loss in our public company's history, demonstrating that the structural changes are working and providing a solid foundation for achieving our goal of becoming adjusted EBITDA positive in Q4. Overall, I am pleased with our execution this quarter as we continue to build momentum towards our growth and profitability goals. While our transformed strategy is taking hold, and our Q4 pipeline remains healthy, we continue to gauge the effects from the protracted U.S. Government shutdown in three areas of our business:
Joseph H. Griffith: First,
Kevin Knopp: demand from state and local customers remained strong, supported by multiyear federal grant programs that remain active. Second, international engagement and order flow remained solid. However, U.S. export licensing requirements may extend delivery timing in some cases. Third, while smaller federal and defense orders have continued to move forward, larger awards have experienced delays due to constrained staffing and contracting authorities. We estimate that approximately $4 million of our Q4 revenue could be potentially impacted by delays in these areas. However, our base case remains that we are on track to achieve our full-year guidance and we view any near-term impact as a timing issue as our strategic alignment remains strong. We believe we are well-positioned as appropriations advance and contracting activities stabilize as we address mission-critical priorities, such as fentanyl interdiction, border security, and chemical threat preparedness. With that context, I would like to turn to our progress on the three strategic focus areas that are propelling us forward, bringing our 908 Devices Inc. 2.0 vision to life. Our first focus is to increase adoption of our devices to address global threats to public health and safety. We equip frontline responders with rapid, reliable chemical identification tools that require minimal training and perform when it matters most. Our aim is to define the benchmark for advanced chemical detection in the field. A clear example is our Explorer device, which is setting the benchmark for advanced chemical detection of over 5,000 gases and vapors. Q3 was another record-setting quarter for Explorer shipments, achieving a 30% quarter over quarter increase in placements. We see Explorer as a strong supporter of our 2026 growth goals as it fills a critical gap in the market for hazardous material response. Firefighters and hazmat response teams have long used a photoionization detector or PID to detect the presence of a subset of gases and vapors. Knowing a gas is present is helpful, but limited. Teams must then rely on their experience and educated guesswork to coordinate a response. With Explorer, changes the game. With Explorer, first responders can not only detect presence, but more importantly, identify and quantify thousands of unknown gases in seconds, informing decision-making and accelerating action. After encountering unknown gases in several recent incidents, the Contra Costa County hazmat team in California purchased four Explorer devices, helping to improve their on-scene response. Facing similar situations, the Kansas State Fire Marshal's office purchased three Explorer devices, and the U.S. Marine Corps CBRE and installation and protection program purchased 17 Explorer devices in the third quarter for potential hazmat incidents and military installations. While the majority of Explorer shipments in Q3 were in the U.S., the need is global. We are seeing early traction internationally in countries such as Italy, Finland, Poland, Taiwan, Korea, and Azerbaijan. We are excited to see the continued growth of this game-changing device as the hazmat teams around the world modernize their toolkit with advanced chemical detection and identification. Civilian hazmat response and military subverting defense missions are distinct but closely related. And our portfolio is purpose-built to serve both markets. As the future of incident response shifts towards autonomous ground robots and unmanned aerial system drones, we are extending our analytical platforms to operate on these emerging frontline technologies. To that end, we are collaborating with multiple partners to demonstrate capability, including most recently the Thales Group, a global leader in aerospace, defense, and security on a next-generation unmanned ground vehicle UGV integration to enhance mission safety and improve situational awareness for operators in the field. As we build momentum with emerging autonomous defense tech integrations, we continue to advance key initiatives with our established partners, including our collaboration with Smith Detection on DoD's AvCAD program. We completed low-rate initial production in late 2024, delivering over 100 component sets to support system builds and government testing in 2025. The program is now concluding a final field validation event, which if successful, is expected to trigger an RFP for a next phase. While timelines have become affected by program changes in the government shutdown, we continue to expect clarity on next steps by year-end. We stand ready to support Smith's detection in the next phase of this important national defense effort. Our second focus area is advancing our next-gen analytical tools portfolio. At our core, we are an innovation-driven analytical instrumentation company. We are committed to the relentless pursuit of higher performance, breakthrough capabilities, and greater simplicity. In July, we announced the launch of Viper, our handheld chemical analyzer, that uniquely combines FTR and Raman spectroscopy into a single seamless workflow powered by our smart spectral processing technology. During the quarter, we shipped one of our first Viper units to a government intelligence agency in Southeast Asia. They selected VIPER to modernize their counter-narcotic and counter-terrorism capabilities, upgrading from a competitor product. This initial unit serves as a pilot and has the potential to extend into a broader deployment across the country, establishing a new enterprise account. We also shipped several purchased Viper units during the quarter to our channel partners, feeding awareness and engagement in the field. Last month, I attended our EMEA Channels Partner Summit, where we had gathered more than 25 partners from across the region to review our latest innovations and compare notes on pipeline opportunities. The enthusiasm for Viper was unmistakable, fueled by a clear shift in NATO preparedness and increased spending among nations along the alliance's eastern flank.
Joseph H. Griffith: We are encouraged that Viper
Kevin Knopp: like Explorer, will become a ramping contributor through 2026 and a key beneficiary of recent funding improvements. One of Viper's differentiated capabilities garnering interest is its integration with our team leader software. Using Viper's built-in cellular connectivity or Wi-Fi, first responders can upload sample data on unknown solids and liquids in real-time. Using the team leader app, Infinite command, their leaders outside the hot zone can view this data to make rapid informed decisions on the response based on a clear understanding of the chemical threat. Team Leader is currently integrated with all of our FTR devices and is on the roadmap for our mass spec devices. We already have more than 700 users on the team leader platform and over the next year, we plan to add additional compelling functionality. And finally, our third focus area is strengthening our financial position and accelerating profitability. Under our 908 Devices Inc. 2.0 transformation, we set an ambitious target to achieve positive adjusted EBITDA by Q4 of this year, a goal we have been laser-focused on. As I covered at the outset, and as Joe will detail shortly, we are making meaningful progress toward that target. Our facility consolidation and operational scale-up in Danbury, Connecticut are delivering improved productivity and cost structure. For example, our gross margin increased quarter over quarter and reached 58% on an adjusted basis, reflecting the first benefits of those efforts. Over the long term, we expect further margin uplift as we insource precision machining following our acquisition of the assets of the KAF manufacturing. Importantly, our products continue to command premium pricing due to their innovation and market differentiation, a trend we expect to maintain. And as we build more value in our team leader offering, we intend for it to become an incremental contributor to recurring revenue. Further, we concluded the quarter with approximately $112 million in cash and marketable securities with no debt, providing a strong financial position and optionality as we scale. I will now hand it over to Joe to review our third quarter financial performance. Thanks, Kevin. As a result of the sale of our desktop portfolio in the first quarter, financials we are reporting today are for continuing operations only. All current and historical activity related to our desktops, including the gain on sale, are captured in a single discontinued operations line in our financial statements. Total revenue was $14 million for the third quarter 2025, down 4% from $14.5 million in the prior year period, primarily driven by a smaller number of multiunit MX908 device orders to U.S. Federal and defense customers, offset by continued momentum in our state and local end users. Handheld product and service revenue was $13.2 million for the third quarter 2025, down 5% from $13.9 million for the third quarter 2024. We shipped 176 devices in the third quarter compared to 178 devices shipped in 2024, bringing our installed base to 3,512. As a reminder, there were approximately 700 FTIR devices placed prior to our acquisition of RedWave. And including these units, our product installed base was greater than 4,200 exiting the third quarter. As expected, program product and service revenue was not material in either 2025 or in 2024. We are not assuming any meaningful revenue contribution from the app program in 2025. As we completed the initial low-rate production deliveries in Q3 2024 and are preparing for the next phase and potential ramp in 2026. OEM and funded partnership revenue was $800,000 for the third quarter 2025, compared to $500,000 in the prior year period. Revenue growth was led by pharma and industrial QAQC customers, with an additional lift from component sales tied to our new precision machining kit capabilities, from the KF asset acquisition. Recurring revenue, which consists of consumables, accessories, and service revenue, represented 35% of total revenues this quarter and was $4.8 million, a 10% increase over the prior year period. Looking ahead, we expect recurring revenue to be approximately one-third of total revenue for the full year. This factors in anticipated higher device placements in the fourth quarter, which naturally brings down our percent recurring but also a funding-related pause in service coverage by a U.S. Defense customer resulting in a quarterly headwind of approximately $500,000 beginning in the fourth quarter. Gross profit was $7.4 million for the 2025, compared to $7.8 million for the prior year period. Gross margin was 53% for the third quarter 2025, compared to 54% for the prior year period. The modest decrease was driven by a less favorable product mix, with material costs representing a higher percent of revenue, as well as unabsorbed costs from our new precision machining operation during the quarter. As production ramps, we do more in-house, we anticipate a benefit to gross margins in future periods. Adjusted gross profit was $8.1 million for the 2025, compared to $8.5 million for the prior year period. Adjusted gross margin was 58%, a decrease of approximately 60 basis points compared to the prior year period. The slight decrease in adjusted gross margin was driven by the product mix and unabsorbed costs as mentioned above. Total operating expenses for the 2025 were $23.7 million compared to $32.3 million in the prior year period. The decrease in operating expenses was driven by a $30.5 million goodwill impairment charge in 2024, offset in part by a $22.8 million increase in the fair value of the noncash contingent consideration. Excluding the impact of these two items, operating expenses for the third quarter decreased year over year by $900,000, which is a better proxy for trends in cash-based operating expenses. Net loss from continuing operations for the 2025 was $14.9 million compared to $23.6 million in the prior year period. This decrease was primarily driven by a $7.7 million decrease in non-cash items, additionally offset in part by $400,000 of income from our transition services agreement with Rocklagen. Adjusted EBITDA for the 2020 was a loss of $1.8 million compared to a loss of $2.7 million in the prior year period, representing a 32% year over year reduction and a 53% quarter over quarter reduction. The significant improvement was related to our aggressive cost initiatives resulting in reduced operating expenses across the board, including facilities, R&D costs, and professional fees. As we enter the fourth quarter, we will continue to leverage these structural changes to drive positive adjusted EBITDA with our scale and projected high teens revenue growth. We ended the third quarter 2025 with $112.1 million in cash, cash equivalents, and marketable securities with no debt outstanding. We consumed approximately $6.5 million of cash in the '25. The usage was primarily related to working capital and supporting our operations, but also included the $2 million used for our asset acquisition of KAF. As we noted last quarter, the combination of proceeds from the Desktop Portfolio sale, disciplined cost actions, and durable growth catalysts for 2025 and beyond reinforces our confidence in sustaining a healthy cash balance through our transition to profitability. Looking ahead in 2025, we continue to expect revenue from continuing operations to be in the range of $54 million to $56 million, representing growth of 13% to 17% over full-year 2024 revenue from continuing operations. Our guidance range includes the following assumptions: first, we expect handheld product and service revenue to grow 16% to 20% year over year, which equates to a range of $51.5 million to $53.5 million. The $500,000 decrease reflects the funding-related pause in service coverage for a U.S. Defense customer as previously mentioned. Second, we now expect OEM and funded partnerships, including contract revenue, to be approximately $2.5 million. The $500,000 increase is mainly based on third-quarter performance and the inclusion of revenues from the KF acquisition. And third, as stated all year, we are not assuming any meaningful revenue contribution from the U.S. Department of Defense AvCAD program in 2025, as we are preparing for a potential next phase and ramp in 2026. During the quarter, our commercial team had strong progress in advancing large enterprise opportunities across both U.S. and international accounts. We are also encouraged by the early momentum with 35 units for Q4 shipment to state, local, and international customers. Securing a few of the larger 20-plus enterprise opportunities in the pipeline is central to achieving our fourth-quarter revenue expectations. Our expectations assume that the government resumes normal contracting and operations this quarter. Our operations are nimble. We build to forecast. We have the inventory. We are able to fulfill most orders as received, right through the last days of the year. Moving down the P&L, we continue to expect adjusted gross margins to be in the mid- to high 50s range for full-year 2025, with further opportunity to expand in 2026. With an adjusted gross margin of 56% for the nine months ended 09/30/2025, we remain confident in our ability to deliver on our expectations for the full year. And we continue to target adjusted EBITDA positivity in Q4 of this year, supported by our Q4 revenue projection, anticipated mix, and resulting gross margin, and lower operating costs following our portfolio divestiture and facility consolidation. At this point, I would like to turn the call back to Kevin. Thanks, Joe. To close, Q3 marked another important step forward in our 908 Devices Inc. 2.0 transformation. As planned, we are one broadening our customer mix and reducing customer concentration, two, expanding our handheld portfolio from one product to now five, and three, increasing the share of recurring revenue. Together, this strategy reduces our dependency on the timing of larger U.S. Federal and defense awards and creates a steadier cadence of orders across a more distributed customer base.
Joseph H. Griffith: Further,
Kevin Knopp: we delivered our best adjusted EBITDA results since our IPO, reflecting disciplined execution, cost control, and continued progress towards profitability. With a solid balance sheet, strong year-to-date revenue growth, and line of sight to achieving positive adjusted EBITDA in the fourth quarter, we are confident in our trajectory and the foundation we are building for sustained growth in 2026 and beyond. Thank you for your continued interest in 908 Devices Inc. We look forward to updating you on our progress next quarter. With that, let's open it up for questions.
Operator: Thank you. We will now begin the question and answer session. If you would like to ask a question, please raise your hand now. If you have dialed into today's call, please press 9 on your telephone keypad to raise your hand and 6 on your telephone keypad to unmute when it is your turn. Your first question comes from the line of Puneet Souda with Leerink. Please go ahead.
Puneet Souda: Yeah. Hi, guys. Thanks for taking my questions. So first one, on the $4 million. You know, I just wanted to make sure you are accounting for that in the full year if you could confirm that. And then if that was to come in later than expected, then is this going to be the first, is it going to be a contribution to the first quarter 2026 revenue? And then if I could follow-up for the '26, are you expecting, expecting, 20% growth, or could this be more than 25% growth year over year in '26?
Kevin Knopp: Sure. Absolutely, Puneet. So I guess let me
Joseph H. Griffith: explain it this way. For our Q4 guidance, it includes the run-rate business, and the larger enterprise orders that totaled to about 60-ish units, maybe approximately $3 million. You know, we have the pipeline of those large enterprise opportunities for Q4. Spanning $3 million of high probability enterprise opportunities from those U.S. federal and defense customers that are held up waiting for the U.S. government to get back to business. Additionally, we also have about a million of international orders that require export licenses. Applications are moving, but slower than normal and require an expedite request with the shutdown. You know, to deliver on our guidance, we are assuming the government returns to normalized operations in the quarter. And we can land and ship these before year-end. You know, we build the forecast. We have the inventory, and we can ship right up through the end of the day, the last days of the year. We do have sizable additional sizable enterprise opportunities for international customers progressing towards closure. Some require export licenses and some do not. Further, we have seen our state and local channel overperform our expectations all year, and we are very pleased with the Viper traction to date. With now more than 35 units in hand for Q4 shipment. Representing about 15% of our Q4. $4 million revenue in our guidance, it could be impacted. If the government has not returned to normal by year-end, but we will be looking to leverage other opportunities in our pipeline to mitigate. And importantly, this is a timing thing. These opportunities do not, do not go away. Carry over whether in Q1 or early in 2026. Another way, I guess, to read this is that if the government was fully back to work and operating normally, you would probably be hearing increased confidence to the high end or even higher. In today's call.
Puneet Souda: Got it. That's very helpful, Joe. And then on the AvCAD program and the Coast Guard, I mean, Coast Guard order, could you update us? How should we think about AvCAD in '26? Is this more first half versus second half? And then on the Coast Guard order of 23 MX908, and correct me if I'm wrong on that, when do you expect that to be in the revenue? Thank you.
Joseph H. Griffith: Yeah. The Coast Guard was in our shipments for Q3, so it's exciting to get that key win.
Kevin Knopp: Yeah. And on the AvCAD side, the program
Joe Griffith: completed a final field validation event. So the government is currently working through those results, and we continue to expect clarity on the next steps before the end of the year. And as you know, we engage the government directly for our commercial products, but for AvCAD, we are partnered with Smiths. They are the prime or the sub, so they manage that program. But we are expecting some feedback in the coming months, and we will certainly keep all updated there. But yes, it has got to continue to move forward. Timing is harder to control, especially given the shutdown dynamics here. But we have been engaged with AvCAD over five years, and we do anticipate it to be a meaningful growth driver and to scale up and to have a nice runway for us over potentially a five to seven-year horizon. So, as we mentioned before on AvCAD, Smith is working through kind of a handful of small incremental improvements, and that was the goal to demonstrate in this field test. And we will be looking for that validation that it has occurred. The scientist in me, I remain very encouraged about where we are at. Because the detection side of it is really some impressive performance levels that had to be hit, and we are doing that. So, and with the new administration, you know, certainly, there are changes in the contracting. So could there be an acceleration? Could there be a delay? Probably equally are possible on that. But at the moment, I think we have got good momentum, and they are coming up to a decision point that we should get those next steps clarity. So from a 2026 I think AvCAD creates it's one of the levers or catalysts for growth. There's the
Joseph H. Griffith: opportunity as we learn at the end of the year that can contribute to that 20% product growth. That we will continue to evaluate and talk to as we get into March.
Puneet Souda: Got it. Okay. Helpful, guys. Thank you.
Kevin Knopp: Welcome.
Operator: Your next question comes from the line of Matt Larew with William Blair. Please go ahead. Matt, a reminder to please unmute yourself by clicking the unmute button in the bottom left corner.
Matt Larew: Great. Can you hear me okay? Yes. We can hear you, Matt. Okay. Fair enough.
Joseph H. Griffith: Joe, I just wanted to ask on
Kevin Knopp: adjusted of the breakeven this quarter, obviously, given the government shutdown and AvCAD, you know, some moving parts that are big in size in terms of the top line. Just the sensitivities around hitting that number, and maybe more importantly, as you think about taking through the P&L performance into 2026, you think once you hit the adjusted breakeven that you will sort of remain, at or above that level or, you know, given some of the first half or second half spend and cash dynamics. Could you sort of have a, you know, two steps forward, one step back kind of, you know, path from here?
Joseph H. Griffith: Got it. Yeah. From a sensitivity perspective, you know, the $4 million of potential risk, it would be impactful. You know, if we do not land the $3 million or so in high probability orders anticipated from those federal and defense customers, and maybe the million dollars that need to export licenses. Then unless we can partially offset and get to the low end of our revenue range, it will be a challenge. You know, it's hard to offset the gross margin loss, and we need to be at the low end really to from the range to achieve our target. But we will look for ways to minimize the revenue risk but we do need to scale to get to our Q4 adjusted EBITDA positivity goal. So, I mean, just reiterate a bit, you know, we are holding our revenue guidance steady in our base case, which the $54 million to $56 million for the year. A minimum will need to be at that low end. Easier if Q4 revenues are near the midpoint of that range or even the higher, but at least at the minimum, the adjusted gross margins in the mid to high fifties we have been talking about. And on the Q4 OpEx, excluding noncash stock comp and intangibles in, call it, $11 million not far off from where we were in Q3, really benefiting from the impact of the facility transition and other cost savings we have done. So revenues are the most critical and crucial. As you might expect, you know, of those factors driving positive adjusted EBITDA in Q4, as we think about '26 and adjusted EBITDA, you know, we will be working towards getting there on a full-year adjusted EBITDA. You know, there is seasonality. So from a revenue perspective, I would expect it to flip back to negative earlier in the year we are not at the same scale as Q4. And I think our history has shown that there is, you know, a ramp in the back half typically. On the adjusted EBITDA.
Matt Larew: Okay. Great. And then Kevin, you know, one of the three growth catalysts for next year is NextGen. MX. And, you know, just as you now get closer to that replacement cycle getting going, just kind of curious updated thoughts on, that opportunity and to the extent you have shared any of the new features or form factor with, you know, feedback and how that's kind of leading to your excitement for the product launch.
Kevin Knopp: Yeah. Sure thing. You are absolutely right. Innovation, new product, is one of our three growth catalysts, and our Explorer product is the second newest product, and Viper, I hope you are hearing on our call today. We are very pleased with that recent launch, and that's a new product for us that we think is going to be compelling. Contributor here going forward in 2026 and beyond. And you are right. Next Gen MX as well. Right? We have got over 3,000 of those out in the world of our first generation or the really greenfield placements and us being able to continue that, but also have an upgrade opportunity. We think it will be meaningful over time. Nothing really new to report today on that front. I would say that we remain on track. Teams working on that program aggressively and very encouraging, I would say, improvements there. But, you know, again, we have got a very disruptive product in terms of no direct competition or their current MX, so we will work through the timings of that launch, but we still expect it in 2026. And, again, Explorer and Viper have really been doing well, and was part of the thesis of the Red Wave acquisition, of course, and so we are super excited for those contributions as well.
Matt Larew: Alright. Thank you.
Operator: Your next question comes from the line of Brendan Smith with TD Cowen. Brendan, a reminder to press 6 on your telephone keypad in order to unmute.
Brendan Smith: Great. Thanks for taking the questions, Can you hear me okay?
Kevin Knopp: Yep. Hello. I can hear you. Okay.
Brendan Smith: So yeah. So maybe just putting the shutdown aside just for the time being, I wanted to ask a little bit more about and I fully appreciate it's still early, but just where you are seeing and expecting to kind of the most interest in Viper so far. And maybe how we should think about the launch ramp of Viper relative to kind of your expected growth trajectory for the earlier gen devices. Maybe just if you would expect any potential cannibalization just of the earlier gen growth trajectory as Viper gets its legs or if you are really expecting some of the target customers could continue to persist for both independently? Yeah. No. Great question. I think, Viper, we are really, really pleased with that. Last quarter, we highlighted that we expected Viper to be a small contributor in Q4, and then a rising contributor in 2026. In the third quarter, we did ship that first Viper, good feedback
Kevin Knopp: on that. Another handful or so that went out, for a demo unit to our partners that are working to then evangelize that product. Really excited about all of the all about what we are hearing there and that team leader connection. And as we reported today, there's a meaningful amount, 35 or so, that are on deck for Q4 shipment. So I think the takeaway is that the guide the engagement is showing great early signs and that we do see Viper playing a good role in supporting our growth goals for 2026. From a cannibalization, it really does not impact our MX. It's a complementary product. It's also complementary in use case with our other products on the FTIR side. So, you know, we think this is just great to have in the toolbox. And right now, it seems to be being validated that way. So we remain excited about it.
Brendan Smith: Okay. Great. Thanks.
Kevin Knopp: And then maybe on team leader that you mentioned, maybe just what are kind of the next steps there in development and thoughts on maybe a broader rollout as that gets integrated a little bit more. Just maybe help us understand a little bit more how you are thinking about potentially monetizing that aspect of the system moving forward and maybe when that could start to factor in?
Kevin Knopp: Yeah. Absolutely. So Team Leader is an app application software that hits it connects to all of our FTR devices and then soon our mass spec device. And it allows people remotely to see what's going on with the unit, location information, and then we are starting to add more and more what we think is compelling features in the fleet management perspective so you can understand where each of the devices sits, software, training, things of that nature. And as we do that and that roadmap, we think of these features as pretty compelling, yes, the value of that and its contribution, expect to be incremental to our recurring revenue. So, you may know some large caps in the gas detection space and saw some more medium cap device, out there in the gas detection space companies, do see that working well for them in other segments of the gas detection market. So, you know, I think, it's early days here, but we see a growing contribution as we go over time with that product. Yep.
Brendan Smith: Great. Thanks, guys.
Operator: If you have dialed into today's call, please press 9 to raise your hand, and 6 to unmute. Our next question comes from the line of Dan Arias with Stifel. Please go ahead.
Dan Arias: Hey. Good morning, guys. Thank you. Kevin or Joe, anything that you guys would
Kevin Knopp: consider a risk when it comes to production capabilities or supply chain, etcetera, on full AvCAD fulfillment? The only reason I ask is because you have a bigger portfolio now. More balls in the air. So just sort of curious if there's anything that you think is worth calling out when it comes to scale-up capabilities that's unique or just, you know, sort of requires some particular attention.
Kevin Knopp: Yeah. Great question. As you know, we have done a ton of work over the first half and in the third quarter in moving our production and having it up and running, for the third quarter completely. In Danbury, Connecticut. That includes our MX908, where those core components and subsystems are in common, with many of the elements of the AvCAD product. So we feel good about it that we got a nice base there. We feel good about it that we can handle some of the machining requirements from where we are set to build our pumps at scale. From both the KAF precision machining asset acquisition and importantly, the machining capabilities that we have here in the Boston area. So nothing of note there. I think we really stand ready. And these programs take time, so you do get visibility into revenue ramps or unit volume ramps. So I would expect that, as we get clarity, as we anticipate over the last few months here or a couple of months of the year, that will help us prepare for what their intended volumes and shipment and plan is. Yep. Okay. No. I do not expect any supply chain problems there on that. For rampability.
Dan Arias: Yeah. Great to hear. Okay. Then, Joe, maybe just a follow-up on the shutdown dynamics. If we do move past the shutdown here, you get the confidence in 4Q revenue recognition that you mentioned, does it stand to reason that the 2026 revenues that might be dependent on business development activity that should be taking place now. Is that still sounding good? Or is there some residual timing risk when you just think about the first quarter or the second quarter of the calendar year? I mean I know we have time to lay out next year, just trying to make sure that we sort of fully round out the impact of the government stuff here.
Joseph H. Griffith: Yeah. In many ways, with the shutdown, our sales team is kind of cranking along business as usual. Most of them are still around. It's a lot of the contracting folks. So continue to work the pipeline in short term and longer term, opportunities across the enterprise. Portfolio. So, I do see this as a timing issue. And a bit of a pause. But yeah. And I think I would just add to that. I mean, Dan, it is unprecedented times there. Certainly, we are encouraged by the news over the weekend of government progress on that. And we tried to paint it as a possibility here on the impact we are continuously gauging. But I would clarify that it's probably not a black and white situation.
Kevin Knopp: As we called out, you kind of have greater than $3 million of these high probability enterprise orders in the US Fed defense customer bucket, that are held up, but each have a shade of gray. You know, some of these, can move efficiently in the continuing resolution. Some of these could move and are even when it's completely shut down. But there's other dynamics that we are always trying to get on top of. For instance, if some of our opportunities use owing them money, if the government is shut down, some of that can be redirected temporarily. To be used to keep the lights on in other areas. So all of these types of issues. But as we work through each, it's not a black and white situation. But, yeah, I certainly feel good about the pipeline, and they would likely manifest themselves if that were to happen, the ones that slip. Would be into 2026. But as Joe pointed out, I mean, really, the good news is that we build vanilla boxes. Right? We build COTS products. We build to forecast. We have the inventory of them based upon that, and we can deliver all the way up through the last days of the year. So really about the government, call it, returning to normal operations. As Joe said, we are actively engaged with customers. Many of our customers are still there, but maybe their contracting colleagues are missing or there's another priority during this more limited resource time. But, yeah, we remain encouraged about the future and how we are aligned to the appropriations that we anticipate here. Hopefully, in days and for some of the branches that we are hearing about.
Dan Arias: Yep. Fingers crossed. Okay. Thank you very much.
Operator: There are no further questions at this time. I will now turn the call back to Kevin Knopp for closing remarks.
Kevin Knopp: Yes. Thank you very much. Thank you for joining our Q3 call, and we appreciate your interest in 908 Devices Inc. And thank you. Have a great day.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.